Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to Superior Plus 2023 First Quarter Results Conference Call. [Operator Instructions] Please note that today’s conference maybe recorded. I will now hand the conference over to your speaker host, Rob Dorran, Vice President of Capital Markets. Please go ahead.
Rob Dorran: Thank you, Olivia. Good morning everyone and welcome to Superior Plus’ conference call and webcast to review our 2023 first quarter results. On the call today from Superior Plus are Allan MacDonald, President and CEO; Beth Summers, Executive VP and CFO; and Darren Hribar, Senior Vice President and Chief Legal Officer. For this morning’s call, Allan and Beth will begin with their prepared remarks, and then we will open up the call for questions. Listeners are reminded that some of the comments made today may be forward-looking in nature and are based on Superior’s current expectations, estimates, judgments, projections and risks. Further, some of the information provided refers to non-GAAP measures. Please refer to Superior’s continuous disclosure documents available on SEDAR and Superior’s website yesterday for further details. Dollar amounts discussed on today’s call are expressed in Canadian dollars unless otherwise noted. I’ll now turn the call over to Allan.
Allan MacDonald: Thanks, Rob. Good morning, everyone. Thanks for joining the call to discuss our 2023 first quarter results. Let me begin by saying just how proud I am to be here as the newest member of the Superior Plus executive team. Since joining last month, I’ve spent the majority of my time familiarizing myself with Superior’s operations and meeting with members of the Superior team, the investor community and industry thought leaders. This orientation has been incredibly insightful, and I’d like to share some thoughts with you on what I’ve seen so far. First, the team, there is no question. Superior’s team is amongst the best in the industry. They have extended me a very warm welcome and the executive team have been great, helping me get up to speed with the operations and providing thoughtful insights on the issues facing the business, the day-to-day challenges and our opportunities to continue to evolve. The management teams in each of the divisions and the frontline employees have been equally warm and their welcome. They take great pride in showing how hard we work to create a great experience for our customers, knowing the safe and timely delivery of their energy needs is critical to keeping their homes and businesses functioning. The team has also impressed me with their commitment to safety. Our senior leadership and employees understand that creating a safe working environment is a community effort. It’s not about compliance, it’s about commitment and more than anything, watching out for each other and working together to keep our employees, customers and the communities where we operate safe. The team has made great progress on the integration of Superior’s recent acquisitions and their contribution to Superior’s performance is not insignificant as demonstrated by Kiva’s first quarter performance and Superior’s year-over-year EBITDA growth even with the impact of significantly warmer weather. Superior has demonstrated a history of creating value by consolidating regional and local propane distributors. And these acquisitions underscore Superior’s core competency in this regard as we look to continue to create value through growth and generating economies of scale. Superiors amongst the best I’ve seen at acquiring, integrating and generating synergies from acquisitions. Superior is also focused on the future energy needs of our existing and future customers, investing in real, impactful ESG opportunities. As a leader in portable energy distribution, Superior has a unique vantage point when it comes to reducing our customers’ carbon footprints with low carbon and alternative energy options. The Certarus acquisition is a perfect example of this visionary thinking and commitment to ESG transformation. Certarus is a perfect partner for Superior. Their progress in bringing compressed natural gas and next-generation energy offerings such as renewable natural gas and hydrogen to industrial and commercial customers will continue to grow with the assistance of Superior’s expertise in distribution, logistics and sales and marketing as well as its capital investment capacity. As it relates to the status of the Certarus acquisition, well, we’ve completed our supplementary information request filings with the Canadian Competition Bureau, and we’re working closely with the bureau as they review the transaction. We’re confident the acquisition will close this quarter. And I’m very pleased to congratulate Curtis Philippon, the Certarus CEO and the entire Certarus team on an exceptional first quarter. We are excited to welcome Curtis and the team into the Superior family, and we’re looking forward to working together to continue their success story. Before I turn the call over to Beth, I’d like to touch on important early insights I’m hearing from the investment community and industry thought leaders. Our stakeholders are optimistic. They believe Superior has great potential, a strong team and an impressive asset base. Superior can lead the industry by effectively delivering 3 things: First, organic growth. Innovate and improve operational capabilities beyond what the propane industry has traditionally seen and drive incremental growth from this impressive asset base. Secondly, continue to create value by acquiring smaller regional and local players and create scale and shareholder value through acquisition. And finally, continue being a leader in the transition to lower carbon and alternative energy options for our existing and future customers. Investing in the development of ESG-friendly services offerings and adding real profitable ESG lines of business across Canada and the United States. Finally, I want to congratulate the Superior team on delivering an exceptional quarter. The business faced challenges from significantly warmer weather, but they focused on the task at hand, safely and efficiently, making customer deliveries, managing our costs and continuing to complete the integration of acquisitions, including Kamps, Kiva and Quarles. So with that, I’ll now turn the call over to Beth to discuss the financial results. Beth?
Beth Summers: Thank you, Allan, and good morning, everyone. I’m proud to say Superior’s first quarter adjusted EBITDA of $272 million was a record for us in the first quarter, even though we were negatively impacted by the significantly warmer weather during our key demand months in most of our operating regions. The increase was $22 million compared to the prior year quarter, driven by higher EBITDA from operations, partially offset by a realized loss on foreign currency hedging contracts compared to a gain in the prior year quarter and higher corporate costs. The first quarter earnings were $147.1 million, an increase of $6.1 million compared to the prior year quarter. The primary driver for the increase in net earnings was higher revenue and gross profit, partially offset by higher SG&A, a lower gain on derivatives and foreign currency translation of borrowings and higher income tax and finance expenses. Now turning to the individual business results. U.S. propane adjusted EBITDA for the first quarter was $175.9 million, an increase of $13 million compared to the prior year quarter. First quarter adjusted EBITDA was positively impacted by acquisitions completed in the prior year and, to a lesser extent, increased prices to offset inflation and the impact of the weaker Canadian dollar on the translation of U.S.-denominated transactions. The higher adjusted EBITDA was offset in part by a decrease in volumes related to warmer weather. Weather in our U.S. operating regions was 14% warmer than the prior year quarter and 12% warmer than the 5-year average. Canadian propane adjusted EBITDA was $65.9 million, which was a $3.7 million change compared to the prior year quarter. The decrease in EBITDA was primarily due to lower volumes related to warmer weather and the impact of the huge benefit in sale of carbon in the prior year quarter. This was offset in part by higher margins related to increased pricing to offset the impact of increased labor and the impact from inflation. Weather in Canada was 7% warmer than the prior year quarter and 5% warmer than the 5-year average. Wholesale propane achieved adjusted EBITDA of $40.2 million in the first quarter. This was an increase of $21.2 million compared to the prior year quarter, driven by the contribution from Kiva and to a lesser extent, the impact from higher pricing differentials related to wholesale market fundamentals in California and the Western U.S. Turning to corporate results, the adjusted EBITDA guidance and leverage. Corporate administrative costs for the first quarter were $5.8 million, an increase of $3.2 million compared to the prior year quarter. This was due to lower LTIP expense in the prior year quarter related to the share price decline. Superior realized loss on foreign currency hedging contracts of $4.1 million compared to a gain of $1.5 million in the prior year quarter as Superior’s average hedge rates were lower relative to the average U.S. CAD rate in the current quarter. Superior’s total net debt to adjusted EBITDA leverage ratio for the trailing 12 months ended March 31, 2023, was 3.9x, which is within our target range of 3.5 to 4x. The leverage ratio also declined from 4.1x at December 31, 2022, driven by lower average debt levels. We expect leverage to remain in the target range of 3.5x to 4x at the close of the acquisition of Certarus based on our current leverage and Certarus strong first quarter results. We’re updating our 2023 pro forma adjusted EBITDA guidance range from $585 million to $635 million to a range of $620 million to $660 million, which includes Certarus full year adjusted EBITDA in the range of $175 million to $185 million. I’d also like to reiterate that while we are waiting for the Canadian Competition Bureau to complete its review of the Certarus acquisition, all economic benefits and the cash generated in the Certarus business, the launch to superior based on the terms of the arrangement agreement. We also still expect to achieve the Superior Way Forward EBITDA from operations target range of $700 million to $750 million by the end of 2024, which you’ll recall is 2 years ahead of expectations. With that, I’d like to turn the call over to Q&A.
Operator: Thank you. [Operator Instructions] And our first question coming from the line of Gary Ho from Desjardins. Your line is open.
Gary Ho: Thanks. Good morning. Maybe just a first question on the Certarus closing. Just wondering if you can provide a bit more color in terms of what else is needed kind of your conversations with Competition Bureau, additional color on timing and maybe your confidence in closing the deal this quarter would be helpful.
Rob Dorran: Sure. It’s Dorran. I just want to respond to the Competition Bureau aspect of the question. Yes, we continue to work cooperatively with the Competition Bureau, while they are conducting their review. As Allan stated, we’ve complied with the supplementary information request. And so we’re just continuing to work with them at this point. They need some additional time to conduct their review. But we’re very confident the transaction will be closed in the second quarter.
Gary Ho: Okay. And then my second question for Allan. You’ve taken the helm 4 months now, step back. You provided some of your initial thoughts. Just wondering high-level aspect of the business, whether it’s legacy propane or cars that you really like? And on the other hand, maybe processes that you hope to adjust over time?
Allan MacDonald: Hey, Gary, yes, thanks for the question. It’s really early days. But what I would say is the team has been great, and it’s never easy trying to brief a new CEO on the breadth of operations like this, especially as you’re getting ready for an AGM and closing a big transaction. But I’ve been hugely impressed with the quality of the team, both here at home office and then in Canada and the U.S. Their ability to sort of create a collection of assets, I think, is quite something. So I would say that in addition to the team, I mean, the asset base that we have is really impressive. When you look to next generation, you go, well, there is a lot to work with here in terms of assets and talent. And then you put Certarus in their equally impressive group of individuals, great culturally, really enthused about the growth potential and future opportunities and a really strong ESG story. So for me, I think – again, I can’t stress enough that it’s early days, but there is a lot, a lot to get your hands around in this business, and it’s a really positive story. So my focus right now is in conversation with all of you and with other sort of thought leaders across the industry, how do we take this impressive group of assets, get our most value out of it that we can allocate our capital really wisely and then create a story for growth from here forward. I think we got a lot to do and a lot of opportunity in front of us. So I couldn’t be more positive, frankly.
Gary Ho: Okay. Thanks for the color. My last question. Maybe for Beth, I have a question just on leverage and it relates to your last bit of your prepared remarks. I assume there is some modest decline in the assumed debt portion for the Certarus deal just given they are retaining all the cash post announcement. And with the increased EBITDA expectations now, do you think the leverage will come in maybe lower versus when you ran the math when the deal was announced?
Beth Summers: It’s an interesting question. I think the way to think about the incremental cash being held, you’re absolutely correct. The over-earnings generate more cash. There is obviously CapEx that’s being done in the Certarus company. But net overall, from a debt reduction when you look at the over earnings, you probably have an additional $10 million to $20 million reduction. I think when you talk about it in the context of leverage after the Certarus acquisition is closed. It’s a leverage-neutral transaction as a result of both the debt and the equity coming forward. Where it is going to be more positive at this point in time, my gut feel would be it’s not more of an impact than likely rounding, right, either up or down, but it won’t have a turn difference, but it is positive.
Gary Ho: Okay. Alright. Excellent. I understand that correctly. Okay, thanks for your time.
Allan MacDonald: Thanks, Gary.
Operator: Thank you. And our next question coming from the line of Matthew Weekes with iA Capital Markets. Your line is open.
Matthew Weekes: Hi, good morning. Thanks for taking my questions. Just thinking about the over performance from Certarus in the quarter. I’m wondering how much you think at this point and how much the team thinks is sort of sustainable going forward and based on the contracts and overall strength in demand spending on MSUs. And if there are any sort of tailwinds based on that were abnormal based on maybe the gas price or other things like that?
Beth Summers: Sure. So to kick off, just to commend the team at Certarus for focusing on both the organic growth as well as the efficiency on the MSUs in that business, which did contribute to the strong performance. To sort of take that amount and split it into a few pieces. I think if you want to think about it, roughly half of the overperformance is linked to low commodity price environment. So if you think of it similar to our business, there is the ability to pick up some incremental margin when the commodity price is lower. So that is a contributor and probably in and around, think of it the range of half of what we’re seeing at this point in time. The other piece is you have sales pricing improving. Part of that is back to some of the contracts that were reduced in response to COVID. And there was a lot of work done by the Certarus team to reprice those contracts back to levels which we’d be consistent with pricing prior to COVID. So that also contributed to higher margin per MSU that was being generated. And then one of the other pieces, I think, is important to flag is the national grid contract. And that contract, which had roughly 100 MSUs at site generate higher margins than some of the other contracts. So it is a good example of how Certarus has some competitive advantage because of the size of their fleet that does help overall generate higher MSU returns overall. So those over earnings, as you said, there is over earnings or I don’t want to call them over earnings, but very strong performance for the remainder of the year, which is reflected in the updated guidance number that we provided.
Matthew Weekes: Okay. Thank you. I appreciate the comment on that. So it sounds like there is kind of some overearning and higher returns per MSU and more MSUs at the same time. And as you think about the growth in that business going forward and when you look at the market, do you think there is – the market will sort of absorb any incremental capacity on MSUs. And do you think that as MSUs are built, the demand is there that will essentially – those will be able to go in the market and generate a pretty quick return.
Beth Summers: Yes, absolutely. The market or the demand in the market is much higher right now than the supply. And that also helps drive the higher EBITDA per MSU currently. And that’s simply because you can be very specific and the Certarus team can really choose what contracts and the higher-margin contracts to allocate the MSUs too. We’re confident at this point in time, certainly that, that market is growing faster than the number of MSU or the North American MSU fleet is growing.
Matthew Weekes: Okay, thank you. Appreciate it. I will turn it back.
Allan MacDonald: Thanks, Matthew.
Operator: Thank you. [Operator Instructions] And our next question is coming from the line of Steven Hansen with Raymond James. Your line is open.
Steven Hansen: Good morning, guys. Thanks for the time. Apologies if I missed it, I had some technical issues here. But I just wanted to clarify on what, if any, supply chain challenges might exist to getting more MSUs in the market outside of capital deployment specifically? Are there limitations to getting more MSUs out there? And just as a follow-on is, what kind of term are you typically looking for across the average contract in terms of visibility and cadence of earnings? Thanks.
Allan MacDonald: Hey, Steve. I’ll tackle the first part of your question, and I’ll have – I don’t know the second part. This is an emerging industry, obviously. So there is an endless supply of MSUs or trailers, and they are very technically complex. So I wouldn’t want to leave you with the impression that this is simply a matter of producing trailers and getting the business. There is a lot more to it than that. But as it stands right now, you’re looking at about a 9 to 12-month weight or lead time for new MSUs for – from our supplier base. So we’re working with vendors to make sure that we have the right supply and bringing business on a way that we can handle it. And of course, in the interim, getting as much productivity as we can out of it. In terms of contract length, I think probably suffice to say that this is an emerging business, and it’s growing very rapidly. So there isn’t necessarily a standard term that’s been traditionally establish. But majority of the contracts would be 12 months or greater.
Steven Hansen: Okay, that’s very helpful. And just as a follow-up, if I may, is around the, again, emerging nature of the industry, we’ve seen some evidence that other players are starting to get involved or more interested, there is even been an acquisition recently in the landscape. And just curious if you’re running into competition in any sort of degree of bigger thus far? And/or how do you think about current protect your existing market position as it stands? Or is there just so much room for growth that there is room for plenty of players. Thanks.
Allan MacDonald: Yes, to both. We’ve got – look, there is lots of room for growth. It’s an emerging industry. So it’s complicated. Like I say, it’s much more complicated than just the MSU supply. The compression and decompression is almost virtually proprietary technology, not quite, but we like to think that Certarus does it really well. So I think it’s going to be a balancing act between managing supply, unbelievable customer service, commitment to safety and then being able to do this really effectively. Beth, did you want to add something to that?
Beth Summers: Yes. I think one of the items that I would like to add is one of the really nice things about this business is that the mobile storage units really are mobile. So one of the nice things is you have an increasingly building addressable market, the MSUs can be moved to other parts of North America and other industries and other sectors. So as it grows, there is a lot of places that they can be moved to even if there are specific regions where you have people building and creating some competition from that perspective. So there is certainly a lot of business going around. And I also think it’s important to remind everybody of the fact that these MSUs can also carry both renewable natural gas as well as hydrogen and green hydrogen. So in addition, as the business grows, that’s also area from – and even more carbon positive or less carbon-intensive industry where we can grow into those areas as well.
Steven Hansen: That’s great. And I’ll just squeeze one last one, if I may. I apologize. But on capital allocation priorities, every incremental dollar of growth capital, as you think about it today, how do you think about that going into Certarus versus the traditional core business. Does it go both ways? Are you skewing it towards your tariffs? I mean, how should we think about that given the growth profile we’re seeing here at regards? Thanks.
Allan MacDonald: Well, I think Beth could speak to the particulars. But philosophically, I mean, I think Superior has done a great job allocating capital and being thoughtful and opportunistic in terms of its capital allocation, you have opportunities that will exist within the existing superior business that are going to be really important. We will have tuck-in opportunities. We obviously had a share buyback and dividend considerations in our capital allocation strategy, and we’re adding to that new growth business. So we’re going to continue to do what we’ve always done and be opportunistic, be mindful of the returns that we’re getting and use our capital to drive shareholder value. I don’t see any big change in that. Beth, what would you add to that?
Beth Summers: Just if we want to think about for the remainder of this year, I think along that path, similar to what we’ve talked about previously, based on returns from an opportunistic perspective, the returns out of Certarus organic growth that, in our mind, would be the primary allocation for the remainder of this year. And the reason why is when you think about the M&A opportunities, you still have, in certain instances, a bit of a valuation gap because of the so quickly increasing cost of capital, just resulting in valuation compression. And so obviously, we have to get those expectations to meet. So I think for a period of time, as we’ve said before, we probably have another 6 to 9 months before we start really seeing that come together, which, in theory, just provides fewer opportunities looking at return levels that we potentially saw in the last few years.
Steven Hansen: That’s great. I appreciate it. Thanks. 
Operator: Thank you. And our next question coming from the line of John Gibson with BMO Capital Markets. Your line is open.
John Gibson: Good morning, and thanks for taking my question. Just first off on the Certarus guidance, how much of that hinges upon incremental MSU growth versus just sort of what you’re seeing right now?
Beth Summers: Well, throughout the year, it’s an interesting question. Let me just think about it. I think when we look at the incremental growth for the remainder of the year, it would be tied to spending $110 million of capital, which is factored into all of our guidance. So from a number of unit perspective, think about it for the whole year, I believe the incremental unit addition is 81.
John Gibson: Okay. Great. Is that sort of the target going forward? Or would you look to sort of move over and above that in ‘24 and beyond.
Allan MacDonald: It’s too early to tell, to be honest. John, it’s Allan here. But we will have some insight on that in the next month or 2.
John Gibson: Fair enough. And then last one for me, just where are you seeing the greatest opportunities if you could rank MSG growth in terms of the renewable side, infrastructure side, energy services work, if you could kind of rank them in terms of opportunities that would be appreciated.
Allan MacDonald: That’s a great question. I’m going to unfortunately put that in the same category, give us a month or 2. We’ve got to work through with the – once we close this, we get some work to do with building the plan for the next sort of 18 months, if you think of the remainder of this year and next year and where we’re going to focus from a sales standpoint with the Certarus team. So we will come back to you on that.
Beth Summers: And the one thing that I’ll just add for purposes of thinking about it going forward, the way we’ve thought about the business from a growth perspective going forward, which is linked to the MSU growth rate is somewhere between an 8% to 10% CAGR as we look going forward, which is consistent with our communication previously about Certarus.
John Gibson: Okay. Great. I really like appreciate the comment. And congrats on the great quarter. I will turn it back.
Allan MacDonald: Thanks, John. Good to talk to you.
Operator: Thank you. [Operator Instructions] And our next question coming from the line, Patrick Kenny with NBF. Your line is open.
Patrick Kenny: Thank you. Good morning. Allan, I know it’s very early days for you, but just given one of the benefits of the Certarus transaction is being able to share each other’s Rolodex across your customer relationships. Just curious to get your initial thoughts around any low-hanging fruit on the commercial front here to extend propane or CNG services to any existing large customer base or region on either side, either in Canada or the U.S.
Allan MacDonald: I think the lawyer sitting to my left is going to tell me that I’m not allowed to have any thoughts or considerations about joint marketing until such time as the deal is closed back. Yes, I think you’re right. I mean we continue to operate, obviously, as separate businesses. Those are things that we will focus on once we’ve got to closing. I’d go back to my original comments and say, look, we’re excited to work with the Certarus team to bring the best of their business and the best of ours together. And I think we’ve got a lot to learn from each other. And joint Rolodex is one of them for sure. So we’re really excited to get started. We just have to do a few more eyes and cross a few more tees.
Patrick Kenny: Got it. And then maybe for Beth here. I was curious to get your live views on FX going forward. And I guess, as you plan to roll in the Certarus cash flows as well. I know a big part of their EBITDA does come from the U.S. So just maybe your updated thoughts on how you’re managing FX exposure going forward.
Beth Summers: Yes. We will approach FX in a similar way going forward as we have historically, which is we will hedge. And if you look at it, the way that our policy works is depending on how many years out we are, how much we will hedge. But in the current year, the current year cash flows, we always want to be hedged between 90% to 110%, and that will decrease out into 5 years where it can be sort of from 0% to 15%. So we will approach that similarly. We want predictable earnings going forward. So we will factor the Certarus business in the same way we factor in our U.S. business.
Patrick Kenny: Okay. That’s perfect. Thank you.
Operator: Thank you. And our next question coming from the line Nelson Ng with RBC Capital. Your line is open.
Nelson Ng: Great. Thanks. Just a quick follow-up question on capital allocation for Beth. So you mentioned Certarus CapEx and organic growth provides the most value and more value compared to propane M&A. I guess the question is, how does the NCIB fit into the priorities given where the share price is and obviously, the increase in the share count of the Certarus transaction closes.
Beth Summers: Yes. I think from an NCIB perspective, when we look at capital allocation, similar to we’ve talked about it before, we do look at it from a dynamic capital allocation model. So the NCIB or share buyback is also factored into there. So we take your point that from a buyback perspective, we will assess that impact when we’re allocating capital based on where the share price is as well. So I didn’t mean to leave that out when I was talking about allocation – capital allocation before. That’s certainly something which we said before, is part of our thought process and planning as we look at capital allocation on an ongoing basis, which, I mean, we reassessed that basically on a daily basis.
Nelson Ng: Okay, thanks, Beth. And then just moving to Certarus, another question for you guys. In terms of the guidance of $175 million to $185 million of EBITDA, I guess, how much visibility is there? And how much of that, I’d say, is locked in from your perspective? Because I know Allan mentioned that most contracts are more than 12 months. I know like since providing the initial guidance back in February, you’ve essentially increased your EBITDA guidance versus Certarus by about 25%.
Beth Summers: Yes. I think, Nelson, from our perspective, I mean, we’re confident in that range and we were comfortable to include it from a guidance perspective, the increase. When it comes back to looking at specific contracts, not all of the business has 12-month contracts, but we’re very comfortable with the fact that those MSUs will be to full capacity. Consistent with previously and it gets back to when we think about the industry and the fact that there is so much more demand than actual supply for the MSUs. From our perspective in the discussions that we’ve had around the business, we are not concerned that we won’t be able to have fully utilized MSUs to deliver those numbers.
Nelson Ng: Okay. So I think you previously mentioned that the low natural gas price was a benefit in Q1. So looking forward for the rest of this year. I guess, if natural gas prices increase materially, then that would be a headwind. Anything else that could be a headwind like going forward? Obviously, I think there is general expectations for a slowdown in the economy as well.
Beth Summers: Yes. I think from a slowdown in the economy, which was seen through COVID and how much volume that the Certarus business did that very similar to our propane business. It’s very resilient in the face of recessionary conditions. And part of that is even from the oil and gas perspective. Those that use the Certarus product are the most efficient, so they will be the last to turn off. So in theory, then that business is quite strong going forward. From a commodity price perspective, the forecast does assume and understands where the current forward curve sits if the forward curve changes, yes, it could result in some changes in the numbers. But fundamentally, that’s why there is a range of $1.75 to $1.85.
Nelson Ng: Okay, thanks, Beth. I will leave it there.
Allan MacDonald: Thanks, Nelson.
Operator: Thank you. And I’m showing no further questions in the queue at this time. I will now turn the call back over to Allan MacDonald, President and CEO, for any closing remarks.
Allan MacDonald: Well, let me take a second to thank you all for your time and attention for your questions today. It’s great to have this first analyst call. Look forward to working with you over the many quarters to come and sharing hopefully what will be lots of good news as we embark upon this journey together. And let me wrap up with taking an opportunity to thank all our employees here at Superior for their continued contribution our success their focus on safely and reliably exceeding our customer expectations. Thank you all very much for participating on the call. We look forward to speaking with you in the future.
Beth Summers: Thank you.
Operator: Ladies and gentlemen, that does in our conference for today. Thank you for your participation. You may now disconnect.